Operator: Good morning, ladies and gentlemen, and welcome to the Slate Grocery REIT Third Quarter 2024 Financial Results Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we'll conduct a question-and-answer session. [Operator Instruction] This call is being recorded on Wednesday, November 6th, 2024. I now would like to turn the conference over to Shivi Agarwal, Manager of Finance. Please go ahead.
Shivi Agarwal: Thank you, operator, and good morning, everyone. Welcome to the Q3 2024 Conference Call for Slate Grocery REIT. I am joined this morning by Blair Welch, Chief Executive Officer; Joe Pleckaitis, Chief Financial Officer; Connor O'Brien, Managing Director; Allen Gordon, Senior Vice President; and Braden Lyons, Vice President. Before getting started, I would like to remind participants that our discussion today may contain forward-looking statements, and therefore, we ask you to review the disclaimers regarding forward-looking statements as well as non-IFRS measures, both of which can be found in management's discussion and analysis. You can visit Slate Grocery REIT's website to access all of the REIT's financial disclosure, including our Q3 2024 Investor Update, which is now available now. I will now hand over the call to Blair Welch for opening remarks.
Blair Welch: Thank you, Shivi, and hello, everyone. We are pleased to report a strong third quarter for Slate Grocery REIT. Several consecutive quarters of high leasing volumes and double-digit spreads are materializing in healthy same-property net operating income growth. Adjusted for completed redevelopments, same-property net operating income increased by $2.4 million or 6.2%, year-over-year, in the third quarter. Our team completed over 850,000 square feet of total leasing in the quarter. New deals were completed at 24.8% above comparable average in-place rents, and non-option renewals were completed at 14.1% above expiring rents. Notably, all junior anchor and anchor maturities have been addressed for 2024. Despite a difficult financing environment, our team refinanced $500 million of debt at favorable terms, significantly reducing the risk to our balance sheet. The REIT is also in advanced stages with lenders to refinance another $138 million of upcoming debt maturities, which we expect to complete in the fourth quarter. Subsequent to these refinancings, the REIT's forecasted weighted average interest rate will be 4.8%, when accounting for in-place interest rate swap contracts, providing significant positive leverage and stability for the REIT. Despite our strong operational performance, the REIT's units continue to trade at a discount to Net Asset Value, which we believe presents a compelling investment opportunity. We believe fundamentals in the grocery-anchored sector will continue to provide tailwinds for our portfolio of high-quality grocery real estate. Throughout 2024, high construction and borrowing costs have continued to limit new retail development. In the last 12 months, less than 0.5% of new supply has been added to shopping centre inventory, while demand for retail space has remained healthy. With tenant demand exceeding new supply, landlords are maintaining pricing power to increase rents. Average asking rent in the retail sector increased by 2.5% year-over-year in the third quarter. And in our own portfolio, our average in-place rent of $12.61 per square foot remains well below the market average of $23.58 per square foot, providing significant runway for continued REIT rental increases. We believe strong fundamentals in the sector, coupled with our below-market rents, position the REIT to continue growing revenue and increasing value for unit holders. On behalf of the Slate Grocery REIT team and the board, I'd like to thank the investor community for their continued confidence and support. I will now hand it over for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Brad Sturges with Raymond James. Please go ahead.
Brad Sturges: Hey, good morning.
Blair Welch : Hey, Brad.
Brad Sturges: Maybe starting with on the same-property NOI, obviously, you've had pretty good momentum on the leasing front and now that's kind of starting to get reflected in the results. I'm curious to know or how you think about occupancy here. Do you think there's more room to push occupancy or I guess a different way to put it, like how much more room could you see that expand at this point?
Blair Welch: Yeah, I mean, I think where we are is like in the zone, Brad. I think there's an opportunity to push occupancy, but I think to assume you're 100% full in this kind of real estate is not the right assumption. So I think you bounce and you can look historically over the last 40 years in this space, it's always been in the low 90s. I think we're going to bounce around between 94% to 96%. Like I think where we are is kind of where it's at and I would look more to the rental spreads as increasing the NOI than occupancy. I think we could outperform in occupancy, but I don't like kind of saying that because I think where our NOI is going to grow is from the rental spreads and that's sort of been our strategy all along.
Brad Sturges: And if you exclude like the fixed options, where do you think that the rental spreads could trend on a true mark-to-market basis?
Blair Welch: I mean, I can pass it over to Connor and Allen, but I think we've shown consistently what we've been doing.
Connor O’Brien: Yeah, I think this past quarter we achieved 14.1% non-option renewal spreads and that's kind of been pretty consistent in kind of the double-digit mid-teens range over the last six quarters. And we kind of expect that to continue going forward. On the option renewals, they are a little bit more volatile just given the option contracts that are in place and are out of our control. So as Blair alluded to, we're really focused on our non-option renewal spread that'll continue to drive NOI growth in quarters to come.
Blair Welch: Okay. And to switch gears quickly to the debt side. Congrats on the refinancing. I just want to clarify on the credit facilities, the spreads over SOFR, is that unchanged going forward?
Joe Pleckaitis : Yeah. Hey Brad, Joe here. Exactly right, so marginal increases. So we saw a five basis point increase to the existing facility. I think that really speaks to the quality of the underlying assets in the portfolio. And again, completing a half a billion dollar refinancing in today's environment is not an easy task. And I think that really speaks to the lender's appetite for grocery-anchored products as well as the confidence they have in the long-term growth of the REIT.
Brad Sturges: Last question, just with the upcoming mortgage maturities, what would be the all-in rate or the spreads you're seeing today in terms of your near-term expectations for refinancing?
Joe Pleckaitis : Yeah. So we have a December maturity upcoming and then a January. Both went through a market process and received pretty competitive bids. Like the pricing we received with the revolver and the term loan, I'd say risk spreads haven't really changed that much. I would say it's more the underlying Treasury rate that's seen the most movement and volatility. But we're going to be completing both refinancings before the end of the year. And once these are complete, we'll see a weighted average interest rate of about 4.8% is what we're projecting.
Brad Sturges: Okay. I'll turn it back. Thank you.
Operator: Thank you. Your next question comes from Sai Srinivas with Cormark Security. Please go ahead.
Sai Srinivas: Thank you, Alberta. Good morning, guys.
Blair Welch: Good morning, Sai.
Sai Srinivas: Congratulations on a good quarter.
Blair Welch: Thanks.
Sai Srinivas: Just looking at the leasing schedule for the next 12 months and mainly in 2025, I think there's a majority of non-grocery or less than 10,000 square feet spaces coming up for renewals next year. Keeping that in mind, how do you see spreads evolve in 2025? And how should we be thinking about SPNOI growth as we saw this quarter reflecting into earnings in the next 12 months?
Blair Welch: Again, I'll pass it over to Allen and Connor. I think if you look back at our last several quarters, I think we will be kind of in line with those types of spreads. And as it relates to NOI growth, this quarter is great. I think it's a moment in time. But I think we will consistently be in that 3%, 4% or higher range. We don't want to continue to say, we're doing 8,000% NOI growth, but this quarter was good. But we will continue to have the leasing spreads that you guys will talk about, which will drive that NOI.
Connor O’Brien: Yeah. In terms of the NOI growth for next year, I think a lot of times the grocery renewals may kind of dampen some of that option spread. So looking into 2025, we have four grocery renewals, which we are in preliminary discussions on and we'll continue to work through those. So that's much lower grocery renewal volume than what we've seen this year. So I think as we look to project where leasing spreads will be throughout 2025, I would look towards kind of the mid-teens with a little bit of volatility from quarter to quarter, depending on which particular leases are rolling.
Sai Srinivas: That's actually great, Connor. Thanks, guys. And then just maybe thinking broadly of capital priorities, obviously refinancing was a big one this year, but now having done a good chunk of that, and I think you've probably come close to almost no maturities coming into 2026. How should you be thinking about capital priorities ahead and how are you thinking about the REITs focus over the next four months?
Blair Welch: Yeah, I mean, we went out at the beginning of the year and spoke to you and to Brad and other analysts, investors, and we wanted to know your feedback on what, how you were looking at the company. And what we heard was refinancing. What we heard was, hey, you got to show NOI growth and then it was like payout ratio. And I think the team's done a great job of addressing the financing. They've done a great job of showing the NOI growth from the leasing that we did in the prior two years that's coming to NOI growth and the payout ratio is also looking healthy. So now, to your point, it's like, okay, what do we do now? We are seeing compelling investment opportunities in this space. I think we have excellent relationships with our tenants and it's a massive market, but we would be a leader in the grocery space in the United States. So we will look and continue to look as we have been at buying. We will look at our redeploying capital and increasing the value of our own property through redevelopment. We will look at our own units. We talk to our board all the time about what's the best thing to do and how we grow this business. And I think, just to reiterate, we've done a lot this year based on feedback. We have grown in NOI, we've done the debt. Now we can look forward and everything's on the table for us because we like the tailwinds in the sector.
Sai Srinivas: And lastly, just I was just maybe thinking about, I think two years ago, you guys did a huge institutional investment into the REIT, which came in, I think, at or above the NAV. Is there more appetite coming in the institutional market as the capital market churns right now? Are you seeing more of that being an option as well ahead?
Blair Welch: Yeah, I think so. I mean, as you know, Sai, Slate Asset Management is a big believer in central real estate. We own over 500 grocery stores in Europe, and I would say institutional, that's all institutional investors. And I think there is significant interest in investing in the United States, and there's significant interest in investing in the central real estate. I believe the fact that the election is over in the United States really kind of helps take out some uncertainty, whether that's justified or not. So I think we believe there will be investors wanting to put capital into U.S. assets that earn U.S. dollars. We believe strongly in that. So I think we're well positioned to capitalize on those sort of inflows.
Sai Srinivas: That's great color, Blair. Thank you so much. I'll turn back.
Blair Welch: Thanks, Sai.
Operator: Thank you so much. [Operator Instructions] And there are no further questions at this time. I will now turn the conference over to Shivi Agarwal.
Shivi Agarwal: Thank you, everyone, for joining the Q3 2024 conference call for Slate Grocery REIT. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.